Operator: Good morning, everyone, and welcome to the TriState Capital Holdings conference call to discuss financial results for the three months ended September 30, 2017. [Operator Instructions]. Please note this event is being recorded. Before turning the call over to management, I would like to remind everyone that today's call may contain forward-looking statements related to TriState Capital that may generally be identified as describing the company's future plans, objectives or goals. Such forward-looking statements are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those currently anticipated. These forward-looking statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. For further information about the factors that could affect TriState Capital's future results, please see the company's most recent annual and quarterly reports filed on Forms 10-K and 10-Q. You should keep in mind that any forward-looking statements made by TriState Capital speak only as of the date on which they are made. New risks and uncertainties come up from time to time, and management cannot predict these events or how they may affect the company. TriState Capital has no duty to, and does not intend to, update or revise forward-looking statements after the date on which they are made. To the extent non-GAAP financial measures are discussed in this call, comparable GAAP measures and reconciliations can be found in TriState Capital's earnings release, which is available on its website at tristatecapitalbank.com. Representing TriState Capital today is Jim Getz, Chairman, President and Chief Executive Officer. He will be joined by Mark Sullivan, Vice Chairman and Chief Financial Officer, for the question-and-answer session. At this time, I would like to turn the conference over to Mr. Getz. Please go ahead.
James Getz: Good morning, and thank you for joining us today. As pleased as we are with the results we are reporting to you this week, we believe we're building even greater momentum heading into the fourth quarter of 2017. Our performance highlights the earnings power of our growing company's unique combination of investment management, national private banking and regional middle market commercial banking businesses, all enabled by our unrivaled financial services' distribution capability. On a year-over-year basis, TriState Capital delivered strong double-digit organic growth in earnings per share, net interest income, total revenue, total assets, loans across all channels, total deposits and average noninterest-bearing deposits. This multifaceted growth has generated powerful top line-driven results for the quarter, year-to-date and the last 12 months. Our third quarter revenue of $35 million grew more than 13% year-over-year. Year-to-date, revenue grew to more than $101 million, up nearly 15% compared to the first 9 months of last year. Top line expansion in the third quarter was driven by our record net interest income growth of 26% year-over-year to nearly $24 million. Year-to-date, NII of nearly $67 million is up more than 20%, compared to the first 9 months of last year. As designed, our expanding distribution of high-quality lending and deposit products with strong asset sensitivity is delivering robust NII growth in various interest-rate environments. Noninterest income also contributed meaningfully to our third quarter results, totaling nearly $12 million and representing 1/3 of total revenue. Significant revenue growth, coupled with our highly scalable infrastructure, improved TriState Capital Bank's efficiency ratio to 54.81% in the third quarter of 2017. Efficiency improved by 720 basis points from the third quarter of last year, and this ratio remains in line with our mid- to high-50s target range. Consolidated noninterest expenses were 2.1% of average assets, annualized in line with our historic range of 2.1% to 2.4% since 2015, our first full year in the investment management business. This compares very favorably to the recent 2.7% average for bank holding companies with $3 million to $5 million in assets. So even as we continue to invest in our company, we're growing earnings per share at a dramatic rate. Earnings per share of $0.35 increased more than 29% from the year-ago quarter and more than 20% from the linked quarter. This marks the 11th consecutive quarter TriState Capital has delivered double-digit EPS growth. In addition, we are pleased to report that return on average equity reached 10.69% in the third quarter, consistent with our expectation that we hit 10% by the end of this year. Return on average assets stood at 0.92%, and we intend to grow earnings to the manner that leads to sustainable increases in TriState Capital's ROE and ROA. Turning to the balance sheet. Total loans approached the $4 billion-milestone at September 30, growing by $756 million or nearly 24% from 1 year prior. We continue to outpace the industry by a wide margin doing so organically, without any type of bank acquisitions. Based on third quarter data from the Federal Reserve, industry-wide total loans and leases grew by only about 3% during the 12 months ending September 30, 2017. Over the same period, industry-wide commercial and industrial lending increased by about 2% and commercial real estate grew by less than 7%. TriState Capital's July and August loan production was somewhat offset by payoffs in the first 9 weeks of the period. So September originations served as the primary driver of the third quarter loan growth. Accordingly, we have very meaningful [indiscernible] that's added into the last 3 months of 2017, which we expect to be realized in the fourth quarter loan growth, net interest income and revenues. TriState Capital's highly differentiated national private banking franchise continued its successful trajectory, growing by nearly 30% over the last 12 months to surpass $2 billion of private banking loans outstanding at the end of the third quarter. Private banking loans made up 52% of TriState Capital Bank's total loans as of September 30, with net production of $88 million since June of this year and nearly $470 million since September 2016. TriState Capital Bank's number of private banking loan accounts also grew by about 28% over the last 12 months to total more than 4,000. In addition, we saw a 31% increase in the number of applications over the last year, compared to the 12 months ending September 30, 2016. This success was possible due to TriState Capital's distribution through our robust network of financial intermediaries. Through these intermediaries, our relationship-focused teams serve a growing population of high-performing financial advisers and their high net worth clients every day. This national referral network is a key component of our company's unique and highly scalable business model. After adding 6 new firms in the third quarter, we now work with 159 intermediaries compared to 136 1 year ago and about 60 at the time of our 2013 IPO. The number of individual financial advisers and trust officers we've done business with has grown to over 3,000. As strong as our private banking loan production has been to-date, we continued to see very significant upside in our unique non-purpose margin lending program for high net worth individuals around the U.S. The potential market is very consequential. Just last week, the executives of one of our largest financial intermediary firms emphasized the value they placed on their trusted relationship with TriState Capital, which they see is critical to their own efforts to attract and retain their top advisers and important clients. Our national private banking business and the financial services' distribution capability that makes it possible are truly unique among companies our size, if not, any size. On the commercial banking side, our commitment to middle market lending for select businesses in Pennsylvania, Ohio, New Jersey and New York continues to pay off. The collective outstanding balance for our commercial and industrial and owned or occupied real estate loans grew by nearly $21 million or 3% during the third quarter and bought more than $103 million or 15% since September 2016. Our ability to provide strong and relationship-centered solutions continues to benefit TriState Capital's commercial banking activity in markets where their other banks' M&A transactions caused disruption. Our Philadelphia and Cleveland offices are particular examples growing by 38% and 10%, respectively, over the last 12 months. Additional growth in our commercial banking business has come from our lending program focused on capital call lines of credit offer to investment in funds as well as our program offering lines of credit through financial intermediaries. Under these programs, TriState Capital closed or renewed $47 million of commitments in the third quarter, taking total commitments in these programs to $244 million. Our non-owned or occupied commercial real estate lending continues to be a strong driver of quality growth, remaining a major piece of our middle market business. Non-owned or occupied commercial real estate grew by 21% over the last 12 months to $1.1 billion. We continue our focus on providing loans and banking services for in-market projects with in-market borrower relationships. Even as we execute on our long-term strategy for achieving strong, sustainable and responsible growth, we continue to maintain exceptional asset quality. At September 30, 2017, adverse-rated credits stood at just 0.95% of total loans. Nonperforming loans declined to just 0.18% of total loans versus the recent average of 0.89% for $3 billion to $5 billion banks. Nonperforming assets declined to just 0.23% of total assets versus the recent average of 0.76% for $3 billion to $5 billion banks. In addition, we had no loans 30-plus days past due on September 30, 2017, marking the eighth consecutive quarter this has been the case. We remain focused on maintaining, if not, further improving, the superior credit quality we worked so hard to achieve. Our $283,000 third quarter provision expense reflects the conservative risk profile of a loan portfolio with a growing proportion of TriState Capital's private banking loans and favorable credit trends in our commercial book of business. We are readily able to fund our growth opportunity in both commercial and private banking, with total deposits increasing by more than 22% from the third quarter of last year and outpacing loan growth last quarter. Our treasury management business has been steadily growing as a result of the strategic investments we've made over the last 24 months. Through the first 9 months of 2017, we already doubled the number of new treasury management relationships that we have opened in all of 2016. Also, in just the first 9 months of this year, we already increased the number of operating accounts by 17%. Average DDA balances in our treasury management operating accounts grew 43% in the third quarter of 2017 compared to the same period last year, and average noninterest-bearing deposits grew 27% in the third quarter of 2017 compared to the same period last year. Importantly, the annual rate of growth in these categories exceeds the rate of growth of total deposits and total loans. Through this progress, we are steadily expanding our client relationships, winning market share, diversify deposit sources and impacting positively our cost of funds. Our pipeline is strong, and we're building new treasury management client relationships every day. We expect this momentum to continue through the fourth quarter of 2017 and to grow strongly in 2018. Turning to our national investment management business. Chartwell continued to deliver credible investment performance, experiencing positive net flows and contributing meaningfully to TriState Capital noninterest income and earnings. We continue to broaden Chartwell's retail distribution capabilities to achieve a balance between the institutional and retail segments of the business. For example, in the third quarter, we completed the reorganization of one of the strategies we acquired last year, the Berwyn Cornerstone Fund, into the fast-growing and high-performing Chartwell mid-cap value fund. The significant investment in the buildout of retail distribution continues to pay dividends, as evidenced by Chartwell's total gross retail inflow activity of $130 million over the last 3 months. Gross retail inflows over the first 9 months of 2017 totaled some $502 million, a 50% increase over the same period last year. Chartwell's total positive net flows exceeded $51 million during the third quarter of 2017, a time in the industry when we believed net positive flows among active biased firms will be rare. Chartwell's mid-cap value strategy led the way, with its 1 product contributing positive net inflows of $79 million over the last 3 months and $181 million over the last 9 months. Mid-cap value assets under management grew by 25% over the last 3 months and more than doubled over the last 9 months to more than $400 million at the end of the third quarter. Flows into this product is a result of performance outpacing its primary benchmark by well over 300 basis points in the third quarter and by over 500 basis points year-to-date. Chartwell's short duration BB rated product also experienced strong net flows of more than $46 million over the last 3 months and more than $291 million over the last 9 months. This product's assets under management grew by more than 3% over the last 3 months and 23% over the last 9 months to $1.6 billion at the end of the third quarter. CWFIX, our short duration BB mutual fund, continued to deliver exceptional performance through the third quarter. Chartwell's growth -- group continues to make positive strides as well and performance continues to improve, in particular, the mid-cap growth strategy is outperforming peers and benchmarks. Chartwell's pipeline at the end of the third quarter remained very strong, and we continue to expect Chartwell full-year 2017 revenue to be in line with last year's investment management fees, which totals some $37 million. For this first 9 months of 2017, Chartwell revenues stood at $27.7 million compared to $26.8 million generated over the same period last year. Looking ahead, our objective is for Chartwell to be considered a world-class active manager delivering superior, long-term performance and unique products for both institutional and retail investors. In addition, we continue to increasingly coordinate the distribution efforts of Chartwell with those of TriState Capital Bank in order to take full advantage of the financial and intermediary relationships in our National Referral Network and our ability to provide high-value products and services to them. We also continue to expect to supplement the business line's organic growth with complementary acquisitions to broaden Chartwell's actively managed product offerings for institutional and retail clients. Each quarter, TriState Capital is in a better, stronger position than the last. We're organically growing our private banking in regional middle market commercial banking business at impressive rates. We're developing our investment management business into a world-class firm. We have assembled a motivated sales-oriented team of producers, whose talent and focus on client service is unparalleled. As we continue to invest in the future and execute our long-term strategy, we know what we must focus on to be successful. We must continue to put our customer-focused strategy to work in order to grow and win within our markets. And we must do so in a sustainable manner, delivering consistent year-over-year growth without compromising our strong risk framework. On this course, our team works together every day to continue delivering strong earnings growth for the benefit of investors and this company, which, at the end of the day, that's what it's about. Before opening the call up to Q&A, I want to acknowledge the CFO transition plan we announced recently. Today will be the last regularly -- call that co-founder, Vice Chairman and Chief Financial, Mark Sullivan, will be joining us on. Back in the spring of 2006, with little more than a clear vision of what we wanted to build, a compelling business plan and many strong relationships, Mark joined me to create what became TriState Capital. Less than a year later, we had our bank charter, a handful of employees and the capital and confidence of our first shareholders. And over the next 10 years, Mark directed our financial strategy, building an outstanding finance team from scratch and has been essential in putting us in this successful position we enjoy today. His more recent efforts include playing a key role in the recruitment and transition of the CFO duties to his successor, David Demas. Fortunately, Mark will still be with us as Vice Chairman and member of our board when David assumes the CFO role on January 1. David himself is an outstanding leader whose advised some of the largest, the most successful financial service firms in the nation and is already proving to have been an excellent addition to our team. A number of our shareholders have had the opportunity to speak with him since he joined us in August, and we look forward to having him -- more of a you to meet with him in the next weeks and months ahead. David also plans to participate in our January quarterly investor call as our new CFO. That concludes my prepared remarks this morning. I'll now ask Mark to join me for Q&A. Operator, please open the lines for questions.
Operator: [Operator Instructions]. Our first question comes from Michael Perito of KBW.
Michael Perito: A couple of questions from me. I guess I wanted to start first on the tax credit investment strategy. The color on the release about the next quarter was helpful. I'm just curious, though, I mean, is this something we should be thinking about to some degree next year as well, something that you guys plan on trying to continue?
Mark Sullivan: Mike, this is Mark. In Q3, we were able to take the opportunity to reduce our effective tax rate for '17, but I think it's probably helpful to put some historical context on our program. Our investment in 2013 was about $3 million. Last year, it was a little greater than $9 million. And this year, it'll be north of $20 million. So it's grown as we've grown. One of the key things though is as much as it's opportunistic, it has to meet our underwriting standards before we'll make an investment, whether it's LIHTC, HTC, energy credit, whatever the case may be. As far as the continuation of the program, 2008 is somewhat complex and a bit of a tricky issue in that we're in a holding pattern right now, as we don't know what the rate will be in 2018, given the potential legislative changes in corporate tax reform. I think we can assume it will be significantly less than the current 35%. But we've got to keep in mind, too, that for the industry, they'll be a onetime charge because of the write-down of the deferred tax asset as a result of the lower rates. So I think as far as the program on a go forward, I think the best answer I can give you is we're on a holding pattern.
Michael Perito: Okay. That's helpful, Mark. And then, I guess, for old time's sake, Mark, I'll ask a question on the net interest margin. Any thoughts around -- it seemed like the deposit strategy came to fruition a little bit in the third quarter here, which helped the margin kind of get back on track. Any updated thoughts around what kind of pricing you're seeing and the deposit market going forward here? And is the hope that you can continue to kind of build on what you did in the third quarter just to preserve kind of the left side asset sensitivity that you guys have built?
Mark Sullivan: Yes. I think, Mike, looking on a go-forward basis, you've got to look both short-term and long-term. And short-term, specific to Q4, we don't have a Fed rate hike. So the margin, like, will be flat to possibly some slight compression. But more importantly, in the longer term outlook, the momentum that we're seeing in treasury management in terms of no cost and low-cost DDA coming on board, that's kind of translated into a flattening of our cost of funds. And so in '18, we'll keep a larger share of the anticipated rate hikes that are going to impact '18. I know you asked about NIM, but the thing to keep in mind is our focus is always NII, EPS, which is north of 20% in '17, we'll continue that way in '18.
James Getz: But, Mike, I'm sure you noticed it was up this quarter.
Michael Perito: I did. I appreciate the color.
Operator: The next question comes from Matt Olney of Stephens.
Matthew Olney: I wanted to ask another question on the tax credits. And Mark, if we assume we don't get any kind of benefit of the change of corporate tax rates for next year, could you just give us some color on the 2018 effective tax rate, just based off of the most recent investments you made here in the tax credit program?
Mark Sullivan: Yes. I will say, assuming that there's a 35% rate, corporate rate in 2018, we would likely continue on the same path of the program that we were in on in '16 and '17. But again, I mean, there's a question we know the LIHTC is going to continue. There's a question if the historic tax credits will continue or not. There's some question in -- on the energy credits at this point. So again, I think, rather than sort of predict '18, I think it's best just to stay I think as an industry that a lot of people are kind of taking a wait-and-see attitude.
Matthew Olney: Okay, that's helpful, Mark. And then on the loan growth front, it sounds like the commercial real estate growth was strong this quarter, the best quarter we've had in a while. Could you just give us some more details about what types of credits you're adding in theory, average size, other -- or in geography, where it's at? And are there any types of credits you're avoiding on the CRE fund at this point of the cycle?
Mark Sullivan: Yes. What you want to keep in mind, Matt, is that our commercial real estate portfolio is spread across 4 states and 5 loan production offices that cover multiple MSAs. The focus of the commercial real estate lending is on end-market borrower relationships with credit secured on by end-market properties. And if you look at -- our non-owned or occupied commercial real estate loans represent about $1.1 billion of the portfolio. We're about 28% of our total loans. And if you look at that and look at the breakup, there is some retail there. There is a rich retail loan portfolio is comprised of the smaller retail properties that we view as important in defensible physical locations. For example, we have no regional mall exposure at all. Our retail exposure is very well at approximately 3% of the loan portfolio. And then, of course, everyone talks about multifamily. Our multifamily loan portfolio is comprised totally of non-luxury properties and our footprint, with strong sponsor relationships, diversifying across all of our markets and MSAs. We believe in our underwriting and our strong relationship-based lending approach, which is made possible by that very strong experience and knowledge of our commercial real estate team. We believe that we're positioned smartly to do business in this product type. And we actively monitor this asset class. If you look at a breakdown compared to the total loan portfolio, about 3% is retail, 2% is industrial and warehouse CRE, 4% is off the CRE, 6% is multifamily, 4% is other CRE and about 12% is owned or occupied. And if you look at the pricing that we're seeing, it's ranging from anywhere like 250 basis points over LIBOR to maybe 325 over LIBOR. And the average size loan is about $3.5 million in size.
Matthew Olney: Okay. That's helpful, guys. And Mark, I just want to say, congrats to you and enjoyed working with you in the past, and good luck on the next stage of your life.
Mark Sullivan: Thanks, Matt. I appreciate it.
Operator: [Operator Instructions]. The next question comes from Russell Gunther of D.A. Davidson.
Russell Gunther: I appreciate the commentary on the commercial real estate outlook. I wonder if we could just hone in on C&I, nice to see that up 4 consecutive quarters. Could you just share a little bit about how the pipeline's shaking up? And what's your expectations are for that loan bucket going forward?
James Getz: Yes, the pipeline continues to be relatively strong. We have made, over the past couple of years, a commitment to that segment of the business, and particularly, to sole bank deals. And so we're really very committed to C&I growth. We also are emphasizing that the owned or occupied portion, with regard to the commercial real estate portfolio. So I think you're going to see it up pretty handily. If you look at the commercial portfolio, it's up about 18% over the past 12 months. And that's a major improvement over what you've seen in growth in times past. So this is a major part of our book of business. And we have carved out an interest in niche. We have very experienced bankers. And I think you're going to see it growing handily, and we're readily benefiting this. I mentioned, a few moments ago, from the M&A activity occurring particularly in the Philadelphia and the Cleveland region. So I think you can count on this meaningfully contributing to what we've given some guidance on under the 15% growth where we've continually given direction.
Russell Gunther: That's helpful, Jim. And then for my follow-up, I think we've talked in the past about provision, guidance, thinking about 8 to 10 basis points of loans. So as you kind of look out and we just talked about the commercial growth expectations, but kind of marrying that with the private banking growth that's becoming an increasingly larger portion of the loan bucket, how does that 8 to 10 basis points alone feel to you, even coming in a bit below it currently? Just some thoughts there.
Mark Sullivan: Yes. Russell, Mark here. On the provision expense, if you look at banks $3 billion to $5 billion in assets and their credit cycle, a little bit of uptick, but probably averaging about 15 bps on loans outstanding. And then you look at us with over half of our loan portfolio in private banking, we would expect to continue to run significantly under that.
James Getz: And one of the reasons is, Russell, we feel very confident in that is that -- that's why I pointed out in the script that we had no loans, 30-plus days past due at the end of this quarter, but for the past 2 years, we haven't had any loans, 30 days past due. And that gives you an idea of the segue into adverse-rated credits. But obviously, we have to put more reserves again. So this portfolio is really, at this point, in pretty decent shape.
Russell Gunther: Yes, certainly is. I appreciate that. And Mark, congratulations on the transition.
Operator: [Operator Instructions]. And we have a follow-up from Matt Olney of Stephens.
Matthew Olney: I just wanted to follow-up on your M&A initiatives, if you could give us any update as far as expectations and timing and remind us what you're looking for.
James Getz: It's always in a state of flux as you're going through this courtship period. So I'd probably give you a different response last quarter than I'm giving this quarter. We have a couple of situations that we're actively working on, but we have nothing that I would say that would come to fruition within the next quarter or so at this point. But we are in discussions with an awful lot of people at this point, and we're in discussions with some people that it's been a couple of years that we've been talking with them that we feel that we're making some progress. But what you want to do, particularly on the asset management side, is you have to make the right decision. Sometimes, the best strategic decision you can make is not to do something. And so we're looking carefully at these companies and their track record but also their cultural fit with us. So I'm hoping that we can bring something to fruition next year.
Operator: There are no additional questions at this time. This concludes our question-and-answer session. I would like to turn the call back over to Jim Getz for closing remarks.
James Getz: Thank you very much for your continued interest in support of TriState Capital and your participation today. We look forward to speaking with you again in January as we discuss our fourth quarter results. Thanks again, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.